Operator: Good day and welcome to The New York Times Fourth Quarter 2010 Earnings Conference Call. Today’s call is being recorded. A question-and-answer session will follow today’s presentation. (Operator Instructions). For opening remarks and introductions, I’d like to turn the conference over to Ms. Paula Schwartz, Director of Investor Relations, please go ahead.
Paula Schwartz: Thank you and good morning everyone. Welcome to our fourth quarter 2010 earnings conference call. We have several members of our senior management team here to discuss our results with you including Janet Robinson, President and CEO; Jim Follo, Senior Vice President and Chief Financial Officer; Scott Heekin-Canedy, President and General Manager of The Times and Martin Nisenholtz, Senior Vice President of Digital Operations. All of the comparisons on this conference call will be for the fourth quarter of 2010 to the fourth quarter of 2009, unless otherwise stated. Our discussion will include forward-looking statements and our actual results may differ from those projected. Some of the factors that may cause them to differ are included in our 2009 10-K. Our presentation will also include non-GAAP financial measures and we have provided reconciliations to the most comparable GAAP measures in our earnings press release which is available on our corporate website at www.nytco.com. Now, I'll turn the call over to Janet Robinson.
Janet Robinson: Thank you Paula and good morning everyone. Our fourth quarter and full-year results reflects both the transformation our industry is undergoing and the choppy form the economic recovery is taking. During this time, we took decisive actions as demonstrated by the fact that our operating profit before depreciation, amortization severance and special items increased 20% for the year compared with 2009, with slightly lower overall revenues offset by a greater improvement in cost savings. The year did improve -- proved more challenging as it progressed with operating profit on that same basis declining 7% in the fourth quarter as revenues declined slightly more than cost improved during that period. Last year's progress on the print advertising front and a steady double-digit growth in our digital advertising numbers are proof of our enduring brand strength. While we ended the quarter and the year slightly down in overall advertising revenue, 2010 provided significant evolution encouragement for our company in many ways. We are well positioned to capitalize on the digitization of our content in the coming year and we remain confident in our new online pay strategy and the company's overall future. In the fourth quarter, we continued our focus on core initiatives, including maintaining our brand promise of high quality journalism, our most coveted asset, expanding and preparing to further monetize our digital offerings with the impending introduction of NYTimes.com pay model and a very positive reception to our new NYTimes app for the iPad, rigorously controlling our expenses as we identify areas for continued cost re-engineering, even against the backdrop of difficult cost comparison; improving our liquidity partially through the $225 million debt transaction we completed in the quarter and our growing cash balance, and managing our asset portfolio to maintain its alignment with our core operations. In the fourth quarter, the advertising marketplace remained volatile, as the 11% increase in digital advertising could not fully offset the 7% decline in our print advertising. We were able to reduce the company’s operating expenses before depreciation, amortization and severance in the quarter by 2% or $10 million even in the face of very tough comparable numbers, resulting from 2009’s steep expense cuts. The cost decline in the quarter was 5% on a GAAP basis. We maintained our relentless focus on managing cost in the fourth quarter to mitigate the effects of revenue declines on our operating performance. In addition to the operating profit metrics I mentioned earlier, on a GAAP basis, we reported operating profit from continuing operations of $112 million in the fourth quarter compared with $136 million in the same period of 2009. And for the full year, our operating profit totaled $234 million, more than triple the $74 million we’ve reported in 2009. Diluted earnings per share from continuing operations excluding severance expense and special items, were $0.46 in the fourth quarter compared with $0.44 in the same period of 2009. On a GAAP basis we reported diluted EPS of $0.44 from continuing operations in the quarter compared with $0.48 in the fourth quarter 2009 period. Our Digital offerings continue to gain momentum in the fourth quarter. We intend to introduce our pay model for nytimes.com soon and will release more details on price and gate placement in the near future. Separately in October we launched our expanded content NY Times App for the iPad, which fills on our initial editors choice app and offer access to more than 25 sections of Times content with an impressive array of videos and photos. The app has had more than 1.5 million downloads and is currently free but will simultaneously convert to a subscription product with NYTimes.com. The expanded content iPad app has received stellar reviews so far and advertisers such as Mercedes Benz and Bank of America have leveraged our ability to create rich advertising experiences that build on the unique capabilities of the device. As a result, we have multiple commitments from advertisers well into 2011. We are seeing a very wide range of advertisers that are committing to the iPad app from luxury to technology to entertainment. We have worked closely with those clients to deliver innovative engaging advertisers for advertising that readers react to and remember. We remain focused on diversifying our revenue streams and strengthening our digital businesses. The e-reader application business has proven to be a vibrant market where consumers are willing to pay for quality content through an immersive reading experience similar to that of a print newspaper. Today some of the e-reader platforms that offer content from our publications include the Nook, Sony Reader, Kindle, Kobo Reader and our PC and Mac reading applications. We charge across all of these platforms and we have excelled in these customer monetization efforts. Another one of our strategic focuses is managing our asset portfolio. Early in the fourth quarter, we made $4 million investment in Ongo, a personalized consumer news service that allows users to read and share digital news from multiple publishers on a single interface, with similar contributions coming from the Washington Post and Gannett. This subscription based service launched just last week and now features top stories from the New York Times and the Boston Globe as well as content from a variety of other leading news providers. Ongo is accessible through any major web browser on computers, smartphones and tablets and offers a variety of convenient customization features that we believe will appeal to our readers. Now let me offer some more depth on our fourth quarter revenues. Total revenues for the company declined 3% with advertising revenues down 3%, circulation revenues down 4% and other revenues up 3%. Steady growth in digital advertising revenues, which rose 11% partially, offset a 7% decrease in print advertising revenues. It kept our total advertising revenue to down 3% compared with the fourth quarter of 2009.The positive impact of transitioning into a multi-platform company is becoming more apparent with each quarter. Online advertising revenue continued to its share of revenue and made up 26% of our total ad revenues in the quarter, up from 23% in the fourth quarter of 2009. At the News Media Group which includes the New York Times, New England and the regional media groups, continued strength in digital advertising which was up 20% could not offset the 7% decrease in print advertising. The Group’s total advertising revenues which declined 3% year-over-year in the quarter increased 1% in October, 4% in November and declined 13% in December. A large amount of expected year-end ad spending did not materialize in December compounded by difficult 2009 comparison numbers. Digital advertising remained resilient led by growth in international display. In the fourth quarter we also saw gains in retail display as well as two of the major classified advertising categories, real estate and automotives. By total advertising category, national and retail revenues were each down 2% and classified was down 8%. Within the classified area, recruitment was down 1%, real estate declined 6% and automotive was down 15%. Breaking down the News Media Group into its component properties, at the Times Media Group, advertising revenues were down 3% in the quarter as growth in digital display and classified advertising were more than offset by print declines. Aggregate classified advertising at the Times Media Group decreased in all three major categories, automotive, real estate and recruitment. But retail advertising revenues showed positive growth for the quarter in both print and digital. Aggregate national advertising was down 3% and the national print ad categories where we saw the largest declines were telecommunications where wireless carriers reduced spending and we were faced with tough 2009 comparison numbers; financial services as bank spending declines offset impressive gains from investment firms and insurance companies; and national automotive, where domestic manufacturers reduced spending and the category was up against difficult 2009 comparisons. The national print ad categories where we saw the largest gains were hotels, based on substantial increases from a variety of properties and travel destinations, books which saw a strong growth from publishers; and international fashion driven by gains from top designers. Strong growth in online national advertising was led by gains in the technology, luxury and financial services category. As the number of platforms where readers demand our content proliferates, the company remains aggressive in advertising product innovation, building premier positions across all modes of delivery. More than 80% of the Times top 100 print advertisers also spent on our website in 2010. NYTimes.com, especially continues to be a trailblazer in brand advertising and marketers come to us for our reach, the quality of our audience and our ability to create and execute unique campaigns. The site has made bold moves on the advertising front, particularly on the homepage where we have managed to balance a greater user experience with a great advertiser experience. Premium advertisers such as HBO, Cartier and Lincoln have all made NYTimes.com their first destination for breaking digital advertising campaigns. We are also using the iPad platform to drive innovation in advertising and have seen stunning creative from luxury advertisers such as Chanel, which ran an interactive, rich media ad unit last year and we fully intend to extend our reach with Android and other platforms as they come into the market. At the New England Media Group, advertising revenues declined 3% in the quarter due to weakness in print advertising. Digital ad revenue showed strong growth reflecting increases in every online category including national retail and all-classified categories. Overall, national ad revenues were up 3% led by gain in the financial services, live entertainment and pharmaceutical categories. Total retail advertising revenues were lower led by softness in print categories including department stores, sporting good and home improvement. Classified advertising saw print growth in the recruitment in automotive categories. Early in the fourth quarter, The Boston Globe announced its own digital pay strategy, which will launch in the second half of this year. The Globe will split its digital brand into two distinct websites, keeping Boston.com free while establishing a subscription pay site, BostonGlobe.com, that will feature content produced by the newspaper's journalists. Boston.com will continue its focus on being a one-stop source for all things Boston, that offers everything from breaking news to social networking. At the regional media group, advertising revenues decreased 4% primarily due to weakness in print advertising in the retail and classified categories. Recruitment classified advertising grew slightly in the quarter, while the other classified categories declined. At the News Media Group, circulation revenues were down 4% due to volume declines across the group. Looking ahead we will continue to evaluate our circulation pricing in coordination with our overall multi-platform strategy. And as you know we will soon be introducing a second digital revenues stream. In the fourth quarter, we also launched a significant expansion of our popular DealBook site at the New York Times, more than doubling our staff in that area along with our ability to cover breaking financial news for our high level audiences, C suite executives and decision makers. Since the re-launch, DealBook’s online traffic has increased dramatically and the site saw its highest traffic month ever in December, more than doubling its page views from December 2009. Current and new advertisers to the section which now features a print page several days a week and a daily DealBook video have taken notice. There’s also a DealBook news reader application for the BlackBerry. Also on the digital front in November, we launched our NYTimes.com bestsellers section for books which now enables users to more easily navigate the list and to access historical lists. Readers can now purchase these top books more readily by using the buy button next to each book, which link directly to a variety of booksellers. In the fourth quarter, we also announced plans to begin publishing e-book bestsellers list early this year. Fiction and non-fiction e-book bestseller lists are a natural extension of this franchise as portable devices proliferate and grow usership. The new rankings will reflect sales aggregated from a growing number of online service providers that sell e-books. These digital offers along with many others have helped to ensure that NY Times.com remains the most highly trafficked newspaper website in the United States with about 32 million unique visitors in December. That number grows to nearly 45 million unique when you look at the site’s global audience. With all of this discussion of the company’s digital advancements, let me also assure you that we’ll be printing newspapers for many years to come. According to the September 2010 ABC statistics, the Time’s circulation is 877,000 on weekdays and 1.4 million on Sundays. And our total readership is significantly higher at about 5 million on weekdays and 6 million on Sundays. We are very proud of our strong national circulation base which nicely complements our strength in the New York market with 57% of weekday and 52% of Sunday hone-delivery newspapers going to subscribers outside of the greater New York market. We remain focused on the high quality and most profitable individually paid circulation that is most preferred by our advertisers. We have also expanded our local area reporting with a twice a week print pages of local content in key markets such as San Francisco, Chicago and just recently the state of Texas which attracts new subscribers and generates incremental ad revenue in these markets. Expanding our reach and audience has ultimately driven our efforts to grow our audience in print, online, mobile, e-readers, social media and other products. In particular, during the past couple of years, the Times has launched a number of mobile products such as our iPhone, Android, BlackBerry and Pre Palm apps. In the fourth quarter, we averaged more than 100 million page views per month from these mobile sites and apps. We’ve also reached more than 6 million downloads of our iPhone news app since its 2008 launch with more than more than 2.5 million of those downloads taking place in 2010 alone. In the fourth quarter, the company launched and updated a variety of iPhone and iPad products. The International Herald Tribune for example launched its news app on both the iPad and iPhone with Cartier as the blue chip launch sponsor. The apps are currently free but it will eventually convert to subscription products. Moving on to the About Group, total revenues decline 3% to $35 million in the fourth quarter. Advertising revenues declined 4% due to declines in both cost per click and display advertising. Design changes in cost per click advertisements served by Google had a negative impact on page views and click through rates in the quarter and we expect that to be the case through the first half this year. With approximately 80% of it's traffic coming from search, About is continuing to develop ways to optimize its evergreen content to a growing base of digital users. Display advertising saw fourth quarter declines in categories such as entertainment and manufacturing but showed growth in categories including consumer packaged goods and pharmaceuticals. Although display advertising grew in December, it began to see the effects of the uneven economy in the fourth quarter due to difficult comparisons with the fourth quarter of 2009 when display advertising grew 24% as well as competitive pressures in the market. Longer term About is planning multiple avenues for content expansion including video and a variety of business-to-business in foreign language sites. In December for instance, About launched its new industry and trade channel which provides users with B2B industry and trade content across 50 sectors, including media, construction, conventions and hospitality, aviation, broadband and energy. The About Group's operating cost increased 4% and operating cost excluding depreciation and amortization increased 3% to $16 million, primarily due to higher marketing expenses. Operating profit declined 10% to $16 million in the quarter but it increased 22% to $62 million for the year. About's operating margin rose to a noteworthy 46% in 2010 from 42% in 2009. Total revenues from all of our digital businesses increased 11% in the fourth quarter to $113 million from $102 million in the fourth quarter of 2009. Digital business accounted for 17% of the company's revenue in the fourth quarter versus 15% in the same period of 2009. Total digital advertising revenues rose 11% to $101 million from $91 million in the same period of 2009. Turning now to our outlook, advertising revenues continue to be highly volatile, particularly over the past two months. Accordingly, visibility remains limited. In January, print advertising started out soft and strengthened as the month progressed. Weather was likely a factor impacting volatility and results. We finished the month with print advertising revenues decreasing at approximately the same level of the fourth quarter and digital advertising revenues increasing in the mid single digits as we experienced continued strength at the News Media Group partially offset by softness at the About Group. Circulation revenues in the first quarter are expected to decrease in line with the declines we experienced in the second half of 2010. Now let me turn the call over to Jim, who will give you a more detail on our results.
Jim Follo: Thanks Janet. Our focus on controlling expenses has not abated. Operating costs excluding depreciation, amortization and severance decreased 2% in the quarter despite higher newsprint prices which were offset by lower compensation and benefit costs and decreases in various other expenses. There were no special items in the fourth quarter, but earnings per share in fourth quarter 2009 had been favorably affected by $0.22 for a pension curtailment gain resulting from the freezing of benefits under various company sponsored qualified and non-qualified pension plans and unfavorably affected by $0.07 for a loss on leases and for a fee for the early terminations of a third-party printing contract and by $0.01 for a write down of assets due to the reduced scope of a system project. Severance costs were $0.02 per share in the quarter were less than $5 million compared to $0.10 per share or $25 million in the fourth quarter of 2009. Depreciation and amortization decreased $30 million in the quarter, and to $121 million from $134 million for the year. In 2011, we expect depreciation and amortization to be $125 million and $130 million. Newsprint expense increased by 28% with significantly higher prices offset slightly by decrease in consumption. There were no additional East Coast newsprint prices in the second half of the year. However, newsprint prices were still significantly higher in the fourth quarter compared with the same period of 2009. We believe newsprint prices in 2011 will be higher as supply and demand conditions in the North American newsprint market are expected to remain balanced. In November, we completed a $225 million debt offering of 6.625% senior notes due 2016. Our ability to effect this debt transaction on these terms underscores the confidence that the financial investment community have in our future. Net interest expense increased 11% in the quarter to $23 million and increased 4% for the full year to $85 million. In 2011, we expect interest expense to be between $100 million and $105 million. Joint ventures saw $3 million loss in the fourth quarter. For 2010 income from joint ventures was $19 million compared to $21 million in 2009. In 2010, we recorded a $12.7 million pretax gain on the sale of an asset at one of our paper mills in which we have an investment. Turning now to our pension obligations; our company made contributions of $70 million in the fourth quarter and $176 million for the full year to certain qualified pension plans. The majority of these contributions were discretionary. Our pension assets also benefited from a strong performance in 2010. However, the funded status in these plans has been adversely affected by interest rates used to value our planned liabilities that will lower at year end 2010 vs. year end 2009. For accounting purposes, on a GAAP basis, based upon preliminary results, the under funded status of the company’s qualified pension plans as of year end was approximately $447 million, an improvement of about $74 million from the year end 2009. For funding purposes on a ERISA basis, based upon preliminary results, the company estimates that at January 1st 2011, under funded status was approximately $275 million, an improvement of approximately $145 million from the prior year. The company made a $9 million contribution in January and may make discretionary contributions in 2011 based upon cash flows, pension asset performance, interest rates and other factors but will not be required to make mandatory contributions other than contractual contributions of approximately $32 million in connection with the New York Times Newspaper Guild Pension Plan. Our diligence when it comes to the balance sheet continues to deliver results. With the proceeds from our recent fed issuance along with strong cash flow from operations, we have continued to improve our liquidity position and finished the quarter with $400 million in cash and short-term investments even after making our pension contributions. We reduced our net debt to $597 million from $732 million at the end of year-end 2009. We have no outstanding borrowings excluding letters of credit under our revolving credit facility in the quarter. Our effective income tax rate was 21.2% in the fourth quarter and 38.7% in 2010. In the fourth quarter, income tax expense was reduced by approximately $19 million, for the reversal reserves for uncertain tax positions due to the closing of tax audits and the lapse of the applicable statuettes of limitations. Effective tax rate for 2010 was unfavorably effected by $11 million one time charge with a reduction in future tax benefits for retiree health benefits resulting from federal healthcare legislation enacted in the first quarter of last year. We have taken decisive steps to manage capital spending which further contributed to our improved liquidity in 2010. Capital expenditures total $15 million in the quarter and $35 million for the full year. This year, we project capital spending will be approximately $45 million to $55 million as we invest in digital systems across the company. We remain committed to aggressively managing our operating expenses despite higher newsprint prices and pension expense. Given current initial forecasts, in 2011, newsprint prices are expected to increase and negatively impact operating expense particularly in the first half of the year. We are well positioned to drive in an increasingly digital media market place, thanks to the significant progress we continue to make in reinventing our enterprise. Despite the highly competitive environment and volatile economic conditions, successful efforts across our organization continue to positively impact our overall financial performance, demonstrating our trademark excellence and resilience. With that, I would be happy to take your questions
Operator: Ladies and gentlemen, the question-and-answer session will be conducted electronically. (Operator Instructions) And our first question will come from Alexia Quadrani, JPMorgan.
Alexia Quadrani - JPMorgan: Thank you. Couple of questions on the print side first. I was wondering if you could give us a bit more color on your plans, on the expenses for 2011. You guys have done an impressive job, containing cost through this cycle and I am just trying to get a sense of how much more cost you think you can take out of the business in 2011?
Jim Follo: Alexia, you know, we haven’t obviously given a detailed number. We did suggest that there are some headwinds in two areas, principally in newsprint prices and pension. That being said, we have some of that same headwind in the back half of 2011, particularly in the second half on newsprint prices. And we have obviously managed to find a way to offset that growth in expenses. It's early in the year. I think, will be adaptable to our cost structure as we need to. And I think, as I said, we will continue to be aggressive but we are not prepare right now to give full-year forecast on where those costs go, but, you know, I think our track record has been strong in that area.
Alexia Quadrani - JPMorgan: So, I guess, put in another way, you don’t think you are surely getting close to the bone. You think there is more opportunity left in the business?
Jim Follo: Look, you could have made that case in 2010 as well, given, we took $475 million out ‘09 and we found a way to reduce our cash expenses by $111 million despite the headwind on newsprint prices. So we feel confident, we have the organization discipline to do that and I think I would expect to continue to do that. I will say just kind of as you think a way how the yield developed, obviously, the negative impact in newsprint prices will be more pronounced early in the year until we start kind of catching up to the way those prices increase next year or so. More of the pressure will be in the front half of the year on newsprint prices than would be in back.
Alexia Quadrani - JPMorgan: And I was a little surprised to see the auto classified number down so much. I think you said it was up in Boston, but the way it play out [ph], anymore color you can give on that? We are seeing the trends a bit better at some of your peers in the fourth quarter.
Scott Heekin-Canedy: Alexia, this is Scott. I would point out that at the Times out of classified is a pretty small category. The classified in total is 10% of our business and automotive is a couple of points of revenue. And there continues to be volatility in the whole revenue base but classified in particular. In contrast, I will point out also that recruitment has been in positive territory for the last couple of quarters of the year and real estate is on a trend of continuing improvement throughout 2010 into the final quarter.
Alexia Quadrani - JPMorgan: And then last question on the digital side, Janet, you talked a bit about the success you had in advertising on the iPad app. I know this is still obviously a new endeavor but any sense, I’m just trying to get a sense of revenues that you’re talking about there in terms of size. Any general sense on when that may be come a significantly number, a significant portion of digital revenue?
Janet Robinson: Well, I think that there is an aggressive sales effort underway in regard to the sponsorships that we’ve already sold in regard to the application. We noted in fact all of the fourth quarter of last year, that indeed we were selling this very proactively and that people were lining up which sold out very quickly in the fourth quarter. And as you look to 2011, it’s clear that we are selling very rapidly in regards to sponsorships associated with that as well. It’s clear also in regard to other applications that we have out there the IHT just launching theirs, that indeed this sponsorship model worked very nicely in regard to application and consecutively with there being a healthy marketplace for it. We seem to be doing extremely well and garnering quite a bit of market share there.
Alexia Quadrani - JPMorgan: Okay, thank you.
Operator: And next here from Craig Huber Access 342
Craig Huber - Access 342: Yes, good morning. Thanks for taking the questions. This negative 7.2% print advertising revenue drop here in the fourth quarter, Janet, how much of that do you think was pricing versus volume?
Janet Robinson: It’s very much volume. From a standpoint of The Times, The Times rate yield was up in fact in the fourth quarter of last year, all of last year, for the entire year, and the Boston Globe was flat to a little up in regard to rate. There was a slight decrease on the regional newspapers, but it really is a volume issue Craig as opposed to rate.
Craig Huber - Access 342: Okay, and then I think you mentioned in the month of January, your digital newspaper ad revenues were up 3% - 5%, can you just talk about that. There’s obviously a major slow down from what we had in back half of the year, 20% or so?
Jim Follo: I think we talked about all digital being in the mid-single digits. The News Media Group digital revenues, as Janet said, continued to grow very robustly, grew very robustly in January; About continued to be soft. So that would be the -- those would be the two levers.
Craig Huber - Access 342: Okay, so I misunderstood you there. And then can you also speak about your pension plan, your assumptions for the discount rate or the long-term rate of return on the planned assets. Did that change at all from what you had at the end of the last year?
Jim Follo: Discount rates obviously changed as I stated in my remarks.
Craig Huber - Access 342: What did it change to, if you could tell us please? 
Jim Follo: There is two sets of numbers here. From a funding perspective which is amended by ERISA, , the rate we used in 2009 was about 7 -- 6.7%, the number for 2010 year end was about 6.36%. So there was about a 34 basis point decline and I think I regularly said the most sensitive -- the thing that’s most sensitive to funding is interest rate changes. So a three quarters ago a third of a point is quite a big number. From a GAAP perspective that number is actually larger because of the way is the discount rate is calculated. So for end of year 2009, the discount rate was about 6.30 and for the end of 2010 it’s about 5.65, that’s about 65 basis point decline and that has quite a bit sensitivity obviously.
Craig Huber - Access 342: What about the rate of return assumption please?
Jim Follo: The rate of return assumption for 2010 was 8.75. We will finalize our view of that rate for 2011 in our 10-K and that will be something that will be subject to, as it always is, to discussions at our committee meeting.
Craig Huber - Access 342: So that obviously did not change for your company.
Jim Follo: Not in 2010. 
Craig Huber - Access 342: Yes. 
Jim Follo: That's correct.
Craig Huber - Access 342: And I guess, if I add one more question.
Jim Follo: I am sorry, Craig, I would just say that that’s something we evaluate anyways, an annual number. It's a one year number, that gets only evaluated on an annual basis. As we will do it this year, we will finalize it and report it in the10-K. 
Craig Huber - Access 342: And then I am sorry, Janet, if you could talk a little about what your outlook is here for the month of February for newspaper ad revenue trends, is that trending similar to the whole month of January that what you can see so far?
Janet Robinson: Yes, it's very early in the month for us to give any forecast. We outlined what the situation was in January that January started off slow, that weather has played a -- been a factor in that certainly and still economic sluggishness. As January went on, we saw more improvement in the third, fourth and fifth weeks of the month. But as far as February and the quarter it's much too early for us to give a forecast.
Craig Huber - Access 342: Okay, thank you.
Janet Robinson: You're welcome.
Operator: Next we'll go to Leo Kulp with Citi.
Leo Kulp - Citi: Thanks for taking the question. So, have you been able to sell advertising effectively against the international user base on the online?
Scott Heekin-Canedy: Yes, we actually have done that in a couple of different ways. We have a sales force that operates out of the IHT and we’ve integrated those sales forces a while ago and they do a very nice job selling the Times Global package. So, we sell both U.S. advertisers into the global packages as well as endemic advertisers by the country. I would say, that -- it would be a stretch to say that we would go into France and sell the user base, the French user base, to French companies. I think that’s where you would want to draw the line. But we have a very sizeable international marketplace now at the New York Times and we do monetize it.
Jim Follo: And since we integrated the New York Times, NYTimes.com and IHT website, we have seen substantial growth in international traffic in our international sales. That dates back almost two years now.
Leo Kulp - Citi: Okay. Thanks for that and on another one, you mentioned that benefits comped down in the fourth quarter, where would that come from, was that from pension contribution or was there something else?
Jim Follo: A host of things. Year-over-year our headcount is down 3 to 4%. That was a contributor. Obviously, benefits has been something that we have been pretty aggressively tackling. So, our year-over-year basis, we had frozen our defined benefit plan year ago. You know, there is some timing issues with respect to how we book our variable compensation. But there is a whole host of factors. But, we have seen that really throughout the year as well.
Leo Kulp - Citi: Thanks.
Operator: And next we will hear from John Janedis with UBS.
John Janedis - UBS: Hi, thanks. Good morning. Can you help us understand ongo.com a little bit better meaning. If I paid this 6.99 a month, what do I get that I would if I already go directly to the partner website so that that would be behind the pay wall for the iPad or mytimes.com?
Scott Heekin-Canedy: Sure. The Times offers 20 stories a day to the Ongo service. So obviously, if you are a Times’ loyalist, regular Times user, you would come to NYTimes.com and once we go forward with the new model, you would pay your fee and you would use the Times on an unlimited basis. You use many more than the amount of content. You use the amount of content that you wanted to choose. At Ongo, the positioning for Ongo is really a kind of best of the best. In other words, it’s a aggregation service that takes content from the best brands and it’s just started, so the number brands currently being offered is somewhat limited; it’s the Times, The Post and the Gannett newspapers right now, as well as others including content from the FT and the Associated Press. And that all gets combined and aggregated into a kind of best of the best position. And so you would potentially come to NYTimes.com as your first read but if you wanted to go and then find what was going on at the FT and The Post and USA Today and the local newspaper and other sources, you would use that aggregation service to do that. And you can almost think of it as a kind of Hulu of news in some ways. Ultimately, things will be up-sold, so people will be able to create a potential of up sell, to other packages of content, and so it’s a combination of curation, that the editors at Ongo package this for you, as well as algorithmic science, which allows them to integrate all of these stuff and present it in a aggregated way.
John Janedis - UBS: Okay, thanks. And then Jim, I think you referenced the newsprint expense increase and you don’t want to go for the full year but when you look at the first quarter, I assume there will be cost related to the pay wall, may be some marketing around that at some point. Would you expect expenses to actually be flattish in 1Q, and then maybe trend flat to down in the rest of the year, maybe you can help us at least on the first quarter?
Jim Follo: As I said in my remarks earlier, just to way the math will work on newsprint, there will be more impacts on newsprint cost early in the year and later in the year. I am not prepared to necessarily put a number out there. I think on the pay wall side, I think most of those costs are being capitalized, so there’s very little impact. We seen that, again, we’ve been holding this thing for six months or more, and we have not really called that out, any many material layers that really impact on our business, and that should not change in the first half of the year.
John Janedis - UBS: Okay.
Jim Follo: But on that I think we’ll just have to be aggressive in finding ways to manage our costs as we see fit. Things are really dynamic and volatile and we’ll be flexible in our expense going forward.
John Janedis - UBS: Okay. Maybe just one last question. Thanks. On the classified side, you obviously mentioned that you’ve got less exposure relative to pees for that category. Do you expect any kind of impact in the first quarter from the later Easter on the print business?
Scott Heekin-Canedy: I forgot, I think Easter was in April last year.
John Janedis - UBS: I think it was maybe April 4th versus later April 7th, I would think maybe you had give more retail in the March of last year maybe that you won’t get this year, but I don’t know what your thoughts are on that?
Scott Heekin-Canedy: Yes, it’s been a long time since we have experienced an Easter so late in April and we’re still looking at that. I wouldn’t expect it to have a material effect on the quarters.
John Janedis - UBS: Thank you.
Operator: Next we’ll go to Doug Arthur with Evercore. 
Doug Arthur - Evercore Partners: Yeah, two questions; Janet, I guess one of the few positives on the print side was dramatically better retail particularly at the Times. I mean that category has been down a lot year-to-date, so Q4 is a big improvement. I’m wondering if you can elaborate on that a little bit and whether you think that’s a turn in the trend and then I’ve got a follow-up to Jim.
Janet Robinson: I will have Scott give you the overview on regard to the retail there. I would point out that they were difficult comps in Boston in regards to retail. The print business did quite nicely in the fourth quarter but they had a very big Macy’s spend in the fourth quarter of last year and they had quite a bit of advertising from Macy’s but it was exceptional in regard to the comparisons year-over-year and Scott is going to give you the Times story.
Scott Heekin-Canedy: The retail there, there are several major categories in retail, departmental stores, mass market, fine-arts, fashion jewelry, and certain different things going in each of those categories, but as a generalization it reflects the optimism about the consumer marketplace and intentions for holidays spending in the fourth quarter, and I think it’s very circumstantial and reflects the -- it’s another way to think about volatility in categories as marketers respond to very specific and short-term market conditions. It’s not only was it up as you might you’re looking at, it was up in print and digital combined and we’re at that stage in our evolution where our primary focus is on how spending is taking place in the two mediums on a combined basis. As Janet pointed out in remarks, over 80% of our top 100 accounts are spending in both media and their campaigns are very typically integrated campaigns.
Doug Arthur - Evercore Partners: So it's too early to call the profit in Q4 a trend?
Scott Heekin-Canedy: I would be reluctant to call it a trend. As I said I think it was specific to those -- to the environment in the fourth quarter and I am not sure we can extrapolate that environment.
Doug Arthur - Evercore Partners: Okay. And then a follow-up for Jim. Jim, how do you lose money in joint ventures when you've got minority interest in newsprint mills?
Jim Follo: NESV which is a ball team doesn’t do a lot of ball playing in the fourth quarter, and so -- look there was some -- in the fourth as well, there’s some issue related to an acquisition that NESV did and there was some I think some acquisition accounting that also drove that as well. But that principally – the fourth quarter tends to be very light quarter was profitable at the newsprint mills and it's not profitable in the baseball world. That’s the way it generally works.
Doug Arthur – Evercore Partners: Okay, thanks.
Operator: And there are no further questions. At this time, I would like to turn the conference back to Paula Schwartz for any additional or closing comments. 
Paula Schwartz: Thank you for attending our call. If you have any additional questions please give a call. Thank you. Bye-bye.